Operator: Greetings! And welcome to the La-Z-Boy Fiscal 2023 Third Quarter Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note that this conference is being recorded. I will not turn the conference over to your host, Director of Investor Relations Kathy Liebmann. You may begin.
Kathy Liebmann: Thank you, Kelly. And good morning everyone and thank you for joining us to discuss our fiscal 2023 third quarter results. With us this morning are Melinda Whittington, La-Z-Boy’s President and Chief Executive Officer; and Bob Lucian, Chief Financial Officer. Melinda will open and close the call, and Bob will speak to segment performance and the financials midway through. We’ll then open the call to questions. Slides will accompany this presentation and you may view them through our webcast link, which will be available for one year, and a telephone replay of the call will be available for one week beginning this afternoon. Before we begin the presentation, I’d like to remind you that some statements made in today’s call include forward-looking statements about La-Z-Boy’s future performance and other matters. Although, we believe these statements to be reasonable, our actual results could differ materially. The most significant risk factors that could affect our future results are described in our annual report on Form 10-K. We encourage you to review those risk factors as well as other key information detailed in our SEC filings. Also, our earnings release is available under the News and Events tab on the Investor Relations page of our website, and it includes reconciliations of certain non-GAAP measures which are also included as an appendix at the end of our conference call slide deck. With that, I will now turn over the call to Melinda Whittington, La-Z-Boy’s President and Chief Executive Officer. Melinda?
Melinda Whittington: Thank you Kathy and good morning everyone. Yesterday afternoon, following the close of market we reported fiscal 2023 third quarter results. Highlights for the period included excellent sales, earnings and cash performance for the enterprise in total, with record non-GAAP operating profit and margin delivery for our company-owned retail segment and positive written same-store sales for the retail segment. Our company owned La-Z-Boy Furniture Gallery stores. All-in a great quarter. With continued supply chain productivity gains, we completed delivery of the majority of our backlog and improve service to customers and consumers particularly benefiting our retail business. As of now we're getting close to normal lead times, which improves our selling proposition as we highlight and capitalize on our brand promise; custom furniture with speed to market, a key differentiator in the marketplace. Total written sales for our retail segments were up 8% versus last year's third quarter, and same-store written sales comp at a positive 3% for the period. We are extremely pleased to deliver positive written sales versus year ago for our retail segment even with challenging economic headwinds. Against the pre-pandemic fiscal 2020 third quarter, total written sales for the retail business were up 22% and same-store written results were up 12% reflecting the sustained strengthening of our company owned stores. Our company owned stores are outperforming other channels as we make strategic investments in marketing to drive traffic. Traffic trends and retail while still negative year-on-year progressively improved as we move through each month of the quarter. And once consumers enter our stores, our retail team continues to deliver superb execution with improved conversion and increase in average ticket and higher design average ticket sales. Quarter of Century Vision growth strategy our company on retail stores allow us to deliver an inspirational end-to-end experience and our retail segment continues to make a significant contribution to the enterprise's overall profitability. Written same-store sales for the entire La-Z-Boy’s Furniture Galleries network including independently owned galleries were down 2% against the prior year period but up 7% against pre pandemic fiscal 2020 third quarter. [Indiscernible] wholesale business remains more impacted by the challenging environment. But we're playing offense by leaning into additional marketing to increase awareness and consideration across all channels. We're also offering selective promotions on certain products to ensure competitive values where needed. And with faster delivery times, we're offering our wholesale customers a great selling proposition. Additionally, our wholesale customers indicate they are moving closer to normal historic inventory levels. And we've begun to see positive order momentum with a number of customers. Turning to Joybird, while written sales were up 80% versus a pre pandemic fiscal 2020 third quarter, they were down 21% versus last year's Q3. Written results improved sequentially versus Q2 but still reflect challenging traffic trends similar to those experienced across many online home furnishing brands. For Joybird, the near term economic environment challenges are more impactful because it because it is a smaller, newer business and has fewer locations to keep the brand top of mind for consumers compared to La-Z-Boy, an established brand with a network of some 350 stores. Across the company, while mindful and realistic about the external macro environment, we remain focused on investing prudently to strengthen our capabilities and drive long-term profitable growth through Century Vision. We're playing offense to drive expanded reach for the La-Z-Boy branded business and return Joybird to profitable growth. For La-Z-Boy, we're capitalizing on and investing in our brand heritage of comfort and durability. As history tells us people return to strong brands in challenging times. We're honing our message, investing in targeted marketing, sharpening price points and ensuring good execution. We're also refining channel strategies to expand distribution opportunities, and in a highly fragmented marketplace, working to ensure we are meeting consumers with the right products where they want to shop. At the same time, we're improving efficiencies in our manufacturing operations and controlling costs to insulate ourselves against recessionary trends. As part of this overall initiative, during the quarter, we made the decision to close our tutorial [ph] Mexico facility. Recall during the height of COVID, we open three Greenfield manufacturing locations in Mexico, and added manufacturing operations at our cut and sew facility in Ramos to service our nine month backlog. Troy Young [ph] was the last and smallest facility to come online and accounted for only 3% of the La-Z-Boy branded production. With efficiencies gained at our larger Mexico based operations, we are now able to shift Torreón production to other locations. We thank the employees of Torreón for their dedication to the company and are providing comprehensive transition packages to support them during this time. On the retail side of the business, we continue to grow and improve the quality of our company own La-Z-Boy Furniture Gallery stores through new and acquired stores, remodels and relocation. In this fiscal year, we will have added five new stores to our company own portfolio, acquired eight stores from independent dealers and will have remodeled and or relocated 16 stores. Again, through our company owned stores we're controlling the end-to-end consumer experience and delivering more profits to the enterprise as we increase the size of our retail business, leverage its fixed cost structure and benefit from the integrated wholesale retail margin. During the third quarter, we also acquired the Barboursville West Virginia La-Z-Boy Furniture Gallery, signed an agreement to acquire another independent dealer own store in Baton Rouge, Louisiana, and opened our first outlet by La-Z-Boy store in Columbus, Ohio, with a second plan to open in the Chicago market this spring. All of this activity aligns with our Century Vision strategy to grow our brands and expand market share. For the near-term, we expect external clients the external climate to remain uncertain, and we'll be prepared to pivot as needed. We believe in our ability to provide excellent service to customers and consumers fund, investments to drive growth and maintain a strong financial position. We are confident La-Z-Boy Incorporated will navigate challenges ahead with agility and will emerge even stronger. Now, let me turn the call over to Bob to review our third quarter results in more detail. Bob?
Bob Lucian: Thank you Melinda and good morning everyone. As a reminder, we present our results on both a GAAP and non-GAAP basis. We believe the non-GAAP presentation better reflects underlying operating trends and performance of the business. Non-GAAP results exclude items which are detailed in our press release and in the tables in the appendix section of our conference call slides. For the quarter, non-GAAP results excluded a non-cash charge of $0.17 per share related to the closure of our Torreón Mexico manufacturing facility, primarily reflecting the impairment of equipment and lease assets. On a consolidated basis, fiscal 2023 third quarter sales increased to $573 million versus the prior year quarter with pricing and surcharge actions and the positive effects of product and channel mix offsetting lower unit volume. Consolidated GAAP operating income increased to $43 million and non-GAAP operating income increased to $53 million, a record for a third quarter and an increase of 34% versus last year third quarter, primarily driven by strong performance in our retail segment. Consolidated GAAP operating margin increased to 7.5% from 6.9% and non-GAAP operating margin increased to 9.3% from 7% in last year's third quarter. GAAP diluted EPS increased to $0.74 for the fiscal 2023 third quarter versus $0.65 in the prior year quarter. Non-GAAP diluted EPS increased 40% to $0.91 in the current year quarter versus $0.65 in last year's third quarter. Over the past 12 months, non-GAAP diluted EPS was $3.94 a 35% increase versus the year ago period. In the third quarter consistent with Q2, a number of our wholesale customers still had warehouse constraints that limited their ability to take delivery of new product during the quarter. These short term dealer constraints again allowed us to focus more on deliveries for our own retail business during the quarter, delighting consumers and driving strong operating margin through fixed costs leverage of our company owned retail business. As I move to the segment discussion, my comments from here will focus on our non-GAAP reporting unless specifically stated otherwise. Starting with our retail segment, delivered sales increased by 27% to $251 million as we made significant progress towards returning to pre-pandemic lead times. For the quarter, delivered same-store sales increased 23% versus year ago. Retail posted record high operating profit dollars contributing 83% of the enterprise's operating income for the period. Operating margin increased to best ever 17.6% versus 12.2% in the prior year quarter, driven by higher delivered sales relative to selling expenses and fixed costs. Our retail team continues to execute at an extraordinarily high level through our consumer first focus, an excellent selling proposition including design services, and improve service through shorter lead times as well as an increase in our in-stock position. All of this has contributed to the segment's on-going success as total written sales in Q3 were up 11% sequentially from Q2, and we congratulate our retail team for its outstanding performance. As Melinda noted earlier, growing a La-Z-Boy Furniture Gallery network is a key element of Century Vision. Disproportionately growing our company owned retail will allow us to delight more consumers with a full end-to-end brand experience, while delivering higher operating margins. For the quarter, delivered sales in our wholesale segment were $408 million, a 4% decline compared with the prior year period, driven primarily by a decline in delivered volume, partially offset by pricing and favorable channel and product mix. Operating margin for the wholesale segment improved to 6.6% versus 6.5% in last year's third quarter. Pricing and surcharge actions along with declining freight costs were mostly offset by an increase in SG&A primarily driven by marketing spend returning to pre-COVID levels. I’ll now spend a few moments on Joybird, which is reported in corporate and other. Joybird’s deliver sales decreased 35% to $29 million versus the prior year third quarter. This reflected slowing e-commerce trends for home furnishings and delivery of Q2 orders written orders that were negatively impacted by campaign execution issues with a key marketing partner. Joybird posted a loss for the period, principally reflecting lower delivery volume due to last year's last quarters excuse me written sales decline. On lower traffic trends versus the prior year, Joybird’s conversion for the period was positive. Additionally, we saw improvement in marketing and efficiencies in Q3 versus Q2. The team is focusing on performance and activation rocketing and its environment optimizing costs across all areas of the Joybird business and working to enhance production and distribution synergies with the overall enterprise to drive profitability. As part of our omni-channel first strategy, we continue to lean into brick and mortar locations for Joybird to offer consumers an opportunity to experience the brand first hand. In markets where we have retail stores, we are seeing great consumer activation with a significant increase in sales. During the quarter, we opened a seventh Joybird store in Manhattan and plan to open three additional stores by the summer in Seattle, Philadelphia and a second store in Los Angeles. For the full fiscal year, we expect Joybird to post a loss, reflecting the impact of slowing e-commerce sales and continued prudent investments in marketing and retail locations to drive long-term growth. We are making improvements across all areas of the business model and we'll balance investments and growth with bottom line performance. Consolidated gross margin for the quarter increased 480 basis points versus the prior year period and increased 60 basis points sequentially from Q2, primarily driven by the changes to our consolidated business mix with retail becoming a larger portion and carrying a higher gross margin than our wholesale business. Consolidated SG&A as a percentage of sales, increased 250 basis points versus last year's third quarter. Again, this primarily reflected changes in our consolidated business mix driven by the growth of retail which carries a higher level of SG&A expense as a percentage of sales than our wholesale business. SG&A as a percentage of sales was also higher due to restoring marketing investments to pre-COVID levels to drive written sales along with higher selling expenses on those higher written sales. Our effective tax rate on a GAAP basis for the fiscal 2023 third quarter was 27.7% versus 24.8% in last year’s third quarter. The effective tax rate in the third quarter of fiscal 2022 was lower partially due to non-taxable gains on corporate owned life insurance and state taxes. Our effective tax rate varies from a 21% federal statutory rate, primarily due to state taxes. We expect our effective tax rate to be in the range of 26% to 27% for fiscal 2023. Turning to cash, in Q3 we generated $96 million in cash from operating activities versus $30 million in the prior year third quarter. The spring’s year-to-date cash from operating activities to $127 [ph] million, a 181% increase versus the $45 million in fiscal 2022 nine-month period. Strong cash generation in the quarter was driven by profit performance and significant progress in reducing inventory versus the end of the second quarter. We ended the period with $284 million in cash and no debt. Year-to-date, we have spent $57 million in capital primarily reflected excuse me, primarily related to La-Z-Boy Furniture Gallery store remodels, and new La-Z-Boy and Joybird retail stores, as well as upgrades at our manufacturing and distribution facilities. Year-to-date, we returned $27 million to shareholders through dividends and share repurchases. Given the uncertain macroeconomic environment, we have temporarily pause share repurchase, other than to offset dilution to enable prudent capital investment in the business and maintain a strong balance sheet. Before turning the call back to Melinda, let me highlight several important items for the third quarter and full fiscal year. Please keep in mind that fiscal 2023 will be a 52-week year and comparisons will be against the 53-week, fiscal 2022. The extra week fell in the fourth quarter of last year and contributed approximately $49 million in sales based on the average weekly sales for that quarter. As we have essentially worked down our backlog to pre pandemic levels Q4 delivered sales will be consistent with what we write, consistent with our historical seasonality and almost 20% higher than pre pandemic levels. While we maintain our long-term commitment to steady sales and margin progress, the macroeconomic environment remains volatile and uncertain. As a result, we expect delivered sales for the fiscal 2023 fourth quarter to be in the range of $525 million to $545 million higher than pre pandemic and down versus the fourth quarter of fiscal 2022, which again included 14 weeks. Consolidated non-GAAP operating margin is expected to be in the range of 7% to 9%. We anticipate non-GAAP adjustments for purchase accounting charges for the year to be in the range of $0.01 to $0.02 per share. Given the current demand environment and the economic uncertainty ahead, we are conserving cash and have extended capital project lead times. We continue to expect capital expenditures for fiscal 2023 to be in the range of $75 million to $80 million, which includes making smart investments to strengthen the company for the future consistent with our Century Vision strategy. And now I will turn the call back to Melinda.
Melinda Whittington: Thanks Bob. As we look to our last quarter of fiscal 2023, we acknowledge short-term uncertainty, and we're managing the business prudently undertaking appropriate scenario planning and conserving cash. At the same time, we're playing offense with a consumer first mind set and prioritizing investments in our brands and underlying capabilities to drive long-term profitable growth through Century Vision. I remain extremely optimistic about the future of La-Z-Boy Incorporated. Our talented team will navigate through the challenges that lie ahead. And we have the financial strength to carry us through and emerge stronger with increased market share. I'd like to thank the amazing team for the excellent results delivered yet again this quarter. And I thank all stakeholders for their on-going support. Thanks for being on our call this morning. I'll turn it back to Kathy.
Kathy Liebmann: We will now open the queue to question. Please review the instructions Kelly for getting into the queue to ask questions.
Operator: Certainly, at this time, we will be conducting the question-and- answer session. [Operator Instructions] Your first question is coming from Bobby Griffin at Raymond James, Please pose your question. Your line is live.
Bobby Griffin: Good morning, everybody. Thanks for taking my questions. So I guess the first thing I wanted to dive into was the written trends, a nice improvement to see those move to positive. So maybe, can you can you talk a little bit, did the performance carry in through February in your own stores with the recent Presidents Day period? And was there anything interesting kind of in the order set price point wise or anything to glean from a little bit of looks like a nice improvement from what we were seeing before?
Melinda Whittington: Yes, we're definitely pleased to see the positive trends. And fundamentally, I would say its execution, right. We've gotten our lead times back down to sort of normal levels with a compelling proposition there. And then in store, the care we're giving to the consumer, with traffic improving, because of the marketing expense, that are the marketing investments that we're making, and then just execution in store for how we're caring for that consumer is just really paying off. There's no one individual item, I'd say it's end-to-end execution. Overall, we saw trends improved through Q3. And that improvement has continued into this fourth quarter with a strong a strong holiday President's Day.
Bobby Griffin: Good. That's, that's good news. And Bob, maybe to follow up on the EBIT guidance, pretty wide range there for the fourth quarter, is that more of just a function that if you get the top end of the revenue, it flows through really nicely with the fixed cost leverage or is it is it more that retail could move back to a more normalized mix of the business, which does have a profit impact?
Bob Lucian: That's you nailed it, it's both of those things. And the fact that if we're able to get more products out the volume, the volume impact relative to that additional retail volume, volume will help the overall consolidated margin, if we see that be a little bit less than what we think then we're going to see at the on the lower end of that range. That's why we gave the wider range on that. And just to be just to be clear, there's also just a lot of potential things that could happen over the next over this quarter. There's just a lot going on, both from an economic perspective, as well as a geopolitical perspective. And we just wanted to give ourselves a range to be able to manage within what we think might be happening out there over the next quarter.
Bobby Griffin: Okay, and then I guess, I guess lastly, for me, it's more just kind of high level industry question. We're starting to see a little bit of minor relief, maybe in some certain raw materials, I call it when that's when that started to happen. Are you seeing the industry from a competitive standpoint hold on to the pricing that they that the industry passed through over the last called 18 to 24 months? Or are you starting to see companies roll back their pricing a little bit to reflect the changes in the raw material or shipping environment?
Bob Lucian: We've seen some companies certain competitors roll back some prices, a lot of that had to do with the freight, the ocean freight rates going down. And there's some of those competitors are at the lower end of the, what I'll call the furniture industry from a price point perspective. As a result of that, we've taken some action as it relates to sharpening price points at some of our opening price point levels, products that we that we sell. And we've done that to maintain competitiveness against some of those lower price competitors that are taking some of the reductions. But we haven't seen a broad reduction across the entire industry. So we continue our policy or our strategy is to remain price competitive. And we take prices and pricing actions as we see fit to do that. And we did that in the quarter. And we saw we're pretty pleased with the response that we get out of that.
Bobby Griffin: Thank you. Very helpful and best of luck here at the upcoming High Point furniture market.
Bob Lucian: Thank you.
Operator: Your next question is coming from Anthony Lebiedzinski with Sidoti and Company. Please pose your question. Your line is live.
Anthony Lebiedzinski: Oh, yes. Good morning. And thank you for taking the questions. And I'll echo Bobby's comments about the written comp sales trends. It's really good to see that moving in a positive direction. So just wondering have you seen any notable differences on their regional basis or are you seeing consistent trends throughout the country? How do describe that?
Melinda Whittington: Good morning Anthony. I would say yes no real dramatic differences by region. Of course, Canada business comps over the last year or so when Canada opened up and began to recover, you might see a little bit of a trend change there. But even that has really sort of leveled out at this point.
Anthony Lebiedzinski: Okay, got you. Okay. And then and just, I'd be curious to know, like, what's your outlook is for just overall industry? Obviously, you guys give guidance here for this quarter here. But just wondering, as far as like, how would you assess the industry outlook for the calendar 2023? How do you see that? And how do you see guys, perhaps outperforming versus your competitors?
Melinda Whittington: It's that old crystal ball we keep looking for? Right, Anthony?
Anthony Lebiedzinski: Right.
Melinda Whittington: So what I would tell you is, as you know, as well as I, you can, you can find a prognosticator that can, can give you a pretty wide range of, of the worst is behind us, or we've only just begun, right. And I think you have to assume that things are going to continue to get tougher for the consumer. Certainly over this calendar year. Thus far for our consumer, which is a little more on the upper end of sort of that middle end consumer, we simply haven't seen that. And so, we're planning prudently. And that speaks even in a Bob's point to Bobby's question around, kind of a kind of a wide range of potential outcomes relative to how bad might it get out there. Now that said, as we've put our head down and focused on execution, across, again, supply chain and how and how we're delivering in shorter lead times, and then how we're taking care of the consumer, when they interact with us, particularly in our own retail. We've been bucking the trends, and we're taking it month to month, quarter to quarter, and making sure that we're still investing, investing in marketing and execution and growing our capabilities. And that's working for us. So I guess I'd say, I'm cautiously optimistic, particularly for the things that we're where we can control our execution that I think we just continue to get stronger every day. But we recognize that, none of us know exactly what the total external environment is going to look like, over the next year.
Anthony Lebiedzinski: Understood. And then last question for me. I mean do you plan to close any additional manufacturing facilities or was the Torreón facility closure a kind of a one-off?
Melinda Whittington: Yes, with what we, with what we see right now on volume trends, we feel good about the footprint that we have.
Anthony Lebiedzinski: Got it. Well, thank you very much, and best of luck.
Melinda Whittington: Thank you.
Bob Lucian: Thank you.
Operator: Your next question is coming from Brad Thomas with KeyBanc. Please pose your question. Your line is live.
Bradley Thomas: Great. Hi, good morning, everybody. Thanks for taking my question. A couple from me, like the first one, just be around distribution, and relationship with some of the wholesale partners that you have. And Melinda, I was hoping you could talk a little bit about number one, inventory and the channel, if you will, outside of your, your own stores, and where those levels stand today and how you think that's going to play out. And then how things are going and in conversations with your larger wholesale partners, or potential partners, and how you think that may change, if at all, over perhaps the year ahead?
Melinda Whittington: Sure. When we think about our wholesale business, we have both, about half of our furniture galleries that are independently owned, and then a very significant portion of our business that’s selling to partners that for a wide variety of manufacturers products. I would say overall, we're starting to see some relief in those all-time kind of high inventory levels that particularly a lot of our, our more general dealer customers, experienced as they went from the all-time high kind of pandemic demand to things slowing down a bit. And, we know across the industry, we had inventory levels where folks were holding a lot of stock inventory. And we're start we're seeing that bit by bit clear up and I think the end is in sight to open that up. An important thing is because of our custom offerings, we're always a good bet in that we give the consumer something special beyond just the stock they have the ability to, to have much more choice in their product. And now that we're down to shorter lead times, we expect that to begin to help us across all of our channels. And then even more, more benefited by the fact that we just don't have customers with just warehouses stocked up but in some cases over the last six months, or even impacting their ability to deliver on customer orders.
Bradley Thomas: That's helpful. Thanks, Melinda. And then if I could ask a follow up just on the outlook for margins, and I mean, this is probably a little more broad reaching than just thinking about the quarter ahead here. What do you think of this kind of the major puts and takes for margins? Obviously, there's some select inputs, like perhaps lumber that could be coming down, ocean freight coming down, but still other inflationary pressures on things like labor? How do you think about the major puts and takes on margins as you look forward here?
Bob Lucian: Brad, you I think you hit on a couple of the things that will be headwinds or tailwinds as it relates to input costs coming down. And ocean, ocean freight, for sure is down input costs, some of the commodities are starting to come down. But we're seeing some of their increases in areas where there's labor involved, whether it be mechanisms, or anything, anything requiring some kind of a waiver input. So I think those are generally speaking positive, our ability to capture those who can be a function of how folks in the environment, how folks in the industry react relative to pricing. If all of that is given back to the consumer, then that's going to bring, that won't be a margin help to the overall industry or for us, for that matter. As we as we move through, and we're now through the backlog, the excess backlog we've had, we were going to get to kind of a going volume level undergoing sales level that will be lower than what we've had over the last couple of years. That will be a margin headwind that we'll be trying that we'll be dealing with, and we're working on in our plants, how do we get ourselves to improve the efficiencies in our plant and work a combination of the input materials as well as the plant efficiencies, to be able to offset and manage that volume decline that we're going to see.
Bradley Thomas: That's helpful. Thanks so much.
Melinda Whittington: Thanks Brad.
Operator: There are no questions in queue at this time, and we've reached the end of the question-and-answer session. I would now like to turn the call back over to Kathy Liebmann for any closing remarks.
Kathy Liebmann: Thank you for participating in our call this morning. Should you have any follow up questions, please be in touch. In the meantime, have a great day. Bye bye.
Operator: Thank you. This does conclude today's conference and you may disconnect your lines at this time. Thank you for your participation.